Operator: Greetings and welcome to the Balchem Corporation First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to Bill Backus, CFO for Balchem Corporation. Thank you. Please go ahead.
Bill Backus: Ladies and gentlemen, thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending March 31, 2015. My name is Bill Backus, Chief Financial Officer, and hosting this call with me is Dino Rossi, our Chairman; and Ted Harris, our President and CEO. Following the advice of our counsel order and the SEC, at this time I would like to read our forward-looking statement. This release does contain or likely will contain forward-looking statements, which reflect Balchem’s expectation or belief concerning future events that involve risks and uncertainties. We can give no assurance that the expectations reflected in forward-looking statements will prove correct, and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem’s Form 10-K. Forward-looking statements are qualified in their entirety by this cautionary statement. The financial information that is referenced in this meeting was disclosed this morning in our quarterly press release at 9.30 am Eastern Time. I will now turn the call over to Dino Rossi, our Chairman.
Dino Rossi: Thanks, Bill. Good morning, ladies and gentlemen, and welcome to our conference call. Before we begin the formal portion of the conference call, I’d like to take this opportunity to telephonically introduce Ted Harris, who will be making a brief introduction.
Ted Harris: Thanks, Dino. Good morning. Let me begin by saying that it is a real privilege to be here as the new leader of the Balchem team. I’ve spent my first few days meeting with the team and conducting detailed strategy and business plan reviews with the board of directors. Based on what I learned during those reviews, I believe Balchem’s current strategies are good ones and ones that I fully support. As the board meeting progressed, it was also clear to me that there is strong alignment between our chairman, the board of directors and management around the priorities for 2015 and the strategies for the current planning horizon. My goal is to sustain and, where appropriate and possible, accelerate and expand on these strategies so as to maintain Balchem's strong performance. In the coming month, I will continue reviewing the various Balchem business and operations with a focus on achieving strategic organic growth initiative and pursuing acquisitive growth opportunities to deliver quality returns to shareholders over the long term. I am very excited to be with Balchem and look forward to meeting with many of you in person at conferences or road shows. I will now turn the call back over to Dino.
Dino Rossi: Thanks, Ted. This morning we reported record first quarter consolidated net sales of $144.9 million, which resulted in record first quarter net income of $15.2 million, or $0.48 a share. As disclosed in this morning's press release, these first quarter results include business relating to the acquisition of SensoryEffects that we initially acquired on May 7, 2015. SensoryEffects, a privately-held supplier of customized food and beverage ingredient systems, is now reported in consolidation with the legacy FPN sector. We are happy to provide additional details for you on these items as we proceed through the call. As mentioned, for the first quarter, we reported earnings of $0.48 per share on a GAAP basis. This result includes a significant non-cash item that I would like to highlight. Amortization expenses of $6.6 million for acquisition related intangible assets were recorded in these first quarter GAAP financial statement. This charge is a direct result of acquisition valuation and purchase accounting rules. Consequently, our non-GAAP earnings, reported in our press release earlier this morning, excludes this expense to facilitate comparative evaluation of this current period operating performance versus the prior year period. Our first quarter sales $144.9 million were 68.5% greater than the $86 million result of the prior year comparable quarter. Excluding the impact of the SensoryEffects acquisition, net sales were up 5% compared with the first quarter 2014 or up 8.7% currently adjusted. In the quarter, ARC Specialty Products generated record first quarter sales of $13.6 million and grew 6.2% over the prior year quarter. Animal Nutrition and Health sales at $42.7 million were up 4.5% over the comparable quarter. However, sales in the ANH ruminant ingredients sector were particularly strong, increasing approximately 38% from the comparable prior year quarter, primarily due to higher volumes sold and a changing product mix, with particular strength in rumen protected choline and amino acids. Monogastric product sales decreased 6.7%, primarily due to slightly lower volumes of choline sold in international poultry markets, and unfavorable foreign currency translation. Products for the companion animal and aquaculture species were slightly softer than the prior year quarter as well. Industrial choline sales were up 3.1% from the prior year comparable quarter, as volumes sold at various choline and choline derivatives for industrial application notably for shale fracking increased, particularly early in the quarter. However, the volume increase was offset by lower average selling prices, resulting from pressures related to recent trends to curb hydrocarbon production cost and the industry activity downturn. In the SensoryEffects segment, which includes the former Food, Pharma and Nutrition, net sales were $67.8 million, an increase of $55.6 million from the comparable prior year quarter. Net sales from the acquisition of the SensoryEffects business contributed $54.5 million of this overall increase. And we also realized 8.8% growth in the sales of legacy FPN, with particular strength in encapsulated ingredients for baking and food preservation in both the domestic and international markets even with the negative impacts of the strength in US dollar as we are an exporter into the international markets served. Our consolidated gross profits were $43.1 million or 29.8% of sales in the quarter, an increase of $19.9 million or 86%, and up from a 27% of sales level in Q1 of 2014. The gross margin improvement was primarily due to the noted favorable product mix, particularly in the ANH segment, beneficial manufacturing efficiencies resulting from the noted higher sales volumes, and certain lower raw material costs. Gross margin percentage for the ARC specialty products segment increased by 60 basis points, primarily due to manufacturing efficiencies and cost decreases of certain key petrochemical raw materials. Gross margin percentage increased for the Animal Nutrition and Health segment by 950 basis points, primarily due to the favorable product mix, production and logistic efficiencies, as well as cost decreases of certain key petrochemical raw material. Industrial Products gross margin declined slightly by 60 basis points, highlighting the favorable change in volumes, product mix, efficiencies of manufacturing and favorable purchase prices of certain raw materials, which were more than offset by lower average selling prices. As experienced since the acquisition, gross margin for the combined SensoryEffects segment was lower, primarily due to the acquisition, resulting in our product mix now being more heavily weighted towards the powdered and flavored systems of SensoryEffects, which typically generates a lower gross margin. Consolidated operating expenses for the three months ended March 31, 2015 were $18.1 million or 12.5% of net sales as compared to $9.9 million or 11.5 % of net sales for the three months ended March 31, 2014. The increase was primarily to the inclusion of SensoryEffects operating expenses, and increased amortization expense of $5.5 million related to the acquired SensoryEffects intangible assets. Excluding the $5.5 million of SensoryEffects amortization, operating expenses $12.6 million or 8.7% of net sales. Looking forward, we expect to leverage off of our existing SG&A infrastructure, and exercise tight control over all controllable operating expenses. U.S. GAAP reported earnings from operations of $25 million is an increase of $11.7 million or 87.5% from the prior year comparable quarter. On a non-GAAP basis as detailed in our press release early this morning, earnings from operations of $31.7 million increased $16 million or 101.7% from the prior year comparable quarter. As previously noted, consolidated net income closed the quarter at $15.2 million, up from $8.9 million in the prior year quarter. This quarterly net income translated into diluted net earnings per share of $0.48 as compared to the $0.29 we posted in the comparable quarter of 2014. On a non-GAAP basis and as detailed in our earnings release, our diluted net earnings per share was $0.62 as compared to $0.34 in the prior year quarter or an 82.4% increase. Interest expense for the three months ended March 31, 2015 was $1.9 million, and is related to the term loan for the acquisition of SensoryEffects. The term loan has a remaining balance of $323.8 million at March 31. The company's effective tax rate for the three months ended March 31, 2015 and 2014 was 34.3% and 33.5% respectively. This increase in the effective tax rate was primarily attributable to the impact of the SensoryEffects acquisition, a change in a portion relating to state income taxes, and income generation in jurisdictions with higher tax rate. As outlined in earnings release, our first quarter results generated approximately $36.1 million of adjusted EBITDA in the quarter, which translates to 25% of sales and equals approximately $1.15 per diluted share. Our balance sheet continued to strengthen and our cash flow remained strong as we closed out the quarter with approximately $57 million of cash. And this reflects $9.3 million of dividend payment, principal payments on long term debt of $8.8 million, and $6.4 million of capital expenditure funding in the quarter. I'm now going to have Bill Backus discuss the ARC Specialty Products, Animal Nutrition and Health, and Industrial Products segments.
Bill Backus: Thanks, Dino. The ARC Specialty Products segment posted quarterly sales of approximately $13.6 million for the three months ended March 31, 2015, as compared with $12.8 million for the three months ended March 31, 2014, an increase of 6.2%. These higher sales were derived from increased volumes of ethylene oxide products used in medical device sterilization and higher volumes of propylene oxide for industrial applications. ARC quarterly earnings from operations were $5.7 million, an increase of $895,000, or 18.6%. This increase is due to the noted revenue growth, manufacturing efficiencies, cost decreases at certain key petrochemical raw materials and high control of selling and administrative expenses. During the quarter, we did continue to incur additional expenses pursuing other new end market applications. In the Animal Nutrition and Health segment, we realized sales of $42.7 million, as compared with $40.9 million for the three months ended March 31, 2013, an increase of $1.9 million, or 4.5%. Sales of product lines targeted for ruminant animal feed markets increased by $3.9 million, or 38% from the prior year comparable period, most notably from increased sales volumes of ReaShure, AminoShure and chelated minerals. The health of the US dairy industry continues to support strong demand for our products. Lower feed prices along with continued strong demand for milk in Q1 were key factors. These positive indicators provide support for greater expected utilization of our products, which are targeted to maximize results of production animals. The ruminant product line provides a significant growth platform for us as we look to continually penetrate the market, gain market share and develop new and new and novel products to satisfy global market demands. Global monogastric species sales including feed grade choline products decreased $2 million, or 7% primarily due to sudden lower volumes of choline chloride sold in international poultry and aqua markets, and a negative impact on foreign currency. North American choline volumes sold increased and typically tracked closely with broiler chick placements and eggs sets. As lower feed prices and favorable economic conditions provide incentive for broiler integrators to expand production, there has been an increase in egg sets and a higher number of chicks placed for grow out, with the USDA reporting broiler meat production being up 2% to 3% in 2015. ANH quarterly earnings from operations were $8.5 million, an increase of $4.4 million or 104.6%. This increase was a benefit of the favorable product mix, production and logistic efficiencies, as well as cost decreases at certain key petrochemical raw materials. In the Industrial Products segment, sales moved 3% over the prior year period principally due to volume increases of various choline and choline derivatives for industrial applications most notably for shale fracking with particular strength early in the quarter. However, as previously noted, the volume increase was offset by lower average selling prices resulting from pressures related to recent trends to curb hydrocarbon production costs and the industry activity downturn. There are headwinds in this industry as lower oil and gas prices have had an ultimately negative impact on fracking. However, we remain confident in the competitiveness and efficacy of our products, and believe there is still opportunity to gain additional market share to both our existing product portfolio and the development and introduction of more cost effective alternatives. Our earnings from operations for the industrial products segment were $3.1 million, equivalent to the prior year comparable quarter and reflects the offsetting impacts of the favorable change in volumes, product mix, efficiencies in manufacturing favorable purchase prices of certain raw materials and lower average selling prices. I will now turn the call over to Dino for him to discuss the SensoryEffects segment.
Dino Rossi: Thanks, Bill. As previously noted for the quarter, sales of our consolidated SensoryEffects segment were $67.8 million, an increase of $55.6 million from the comparable prior year quarter. Earnings from operations for this segment were $7.7 million versus $2.6 million in the prior year comparable quarter. Excluding the effect of non-cash expenses associated with amortization of SensoryEffects acquired intangible assets, non-GAAP earnings of operations for this segment were $13.3 million. We experienced certain sales positives and negatives in this segment with higher sales in choline nutrients, flavors and inclusion, and particular strengthening encapsulated ingredients for baking and food preservation in both domestic and international markets but reduced sales in powders. The powder business was affected by order timing, certain customers working down inventories in softness especially beverage product line. The possibility of this combined segment is strongly contributing as we continue to realize improved efficiencies and improved value proposition and related margins of our product portfolio. Sequentially, earnings from operations from this segment increased 9.4% due to product mix, manufacturing efficiency, cost decreases and certain key raw materials and tight control of selling and administrative expenses. In this segment, we continue to focus on integration activities of the combined SensoryEffects. We’re building consumer awareness for the benefits of choline, positioning choline with food and nutritional supplement companies as an essential ingredient to be included in existing, new and novel sensory solutions, which we expect to introduce to the market later in 2015. We are supporting additional external scientific research, and are excited with the recent FDA proposal that an RDI Recommended Daily Intake for choline be accepted. As previously discussed, our pharmaceutical delivery development efforts continue. We continue to work closely with the licensee of our technology, who has completed Phase III clinicals for their drug to be utilized in the treatment of autism. Their New Drug Application is being filed with the U.S. FDA, and we are collaborating as required. In the near-term, this sector remains a net expense to the business segment. We are always looking to expand our product offerings, particularly via new end-use application and moving globally, particularly in the human and animal nutrition market. Our business continues to provide good balance, yielding profitable growth opportunities across the served value chain. We remain focused on helping our customers generate reinvestment level returns, while maintaining our own operating discipline. As we continue to build the financial strength of the company, we continue to explore possible alliances, acquisitions, and/or joint ventures to build and leverage on our strategic platform, technology and strong human asset base. I'm now going to turn the call back over to Ted for some closing remarks.
Ted Harris: Thanks again, Dino. We are very pleased with the first quarter record sales and earnings. And these results underscore the value of our diversified portfolio, particularly in light of the headwind we have been facing in the shale fracking market, the strength of the US dollar and certain global, economic weakness. We realized improved operating margins, due largely to a shift in product mix, manufacturing efficiencies and a focus on management of base cost. Cash flow remained strong. And during the quarter, we generated $27 million in cash flows from operating activities. Looking ahead for 2015, we expect to capitalize on the strength of our diversified portfolio in the end-markets we serve, while continuing to manage our business in an uncertain geopolitical and economic environment. This now concludes the formal portion of the conference. At this point, we would like to open the conference call for questions.
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Tim Ramey with Pivotal Research Group. Please go ahead with your question.
Tim Ramey: First, let me say welcome to Ted and congratulations Dino on what has been truly a remarkable record at Balchem, what a great growth of company you’ve developed, and your legacy is strong, so congrats of that.
Dino Rossi: Thanks.
Tim Ramey: Just a nuts and bolts question, the amortization of intangible sounds like it was mostly in SensoryEffects, but some in another segments, can you give us some breakdown on that before the breakdown of the $0.995 million for last year as well, Bill?
Bill Backus: Yes so you're right. Most of the amortization is absolutely SensoryEffects. The total amortization is about $6.6 million in the quarter of which $5.6 million is related to Sensory from the acquisition. The other $1 million is legacy Balchem amortization from prior deals. We’ve done, as you know in the past, we acquired [indiscernible]; we had the Chinook. A customer list that we acquired; it was still amortized in some of those intangibles from those deals.
Tim Ramey: So just for modeling purposes, should I try that in ARC or --
Dino Rossi: No. Most of its going to be ARC.
Tim Ramey: So $1 million in ANH. And then just if you recall, the $995,000 from last year, was that instance re-effects or where to that relate to?
Dino Rossi: The $995,000 from last year?
Tim Ramey: Yes.
Dino Rossi: Yes. So again, the biggest piece is probably customer list that we acquired and that is not Sensory. Definitely, not Sensory. So you would have small pieces in FPNs, you would have small pieces a lot, like I said, with the [indescribable], but predominantly the amortization here that $995,000 is absolutely going to be related in particular to the Chinook customer list that we acquired back in 2007. So there is still going to be a full year about amortization this year rolling out.
Tim Ramey: So there is some in what is now called SensoryEffects even though it’s before the acquisition, but mostly ANH?
Dino Rossi: That’s correct. There is a little bit of [work all] there -- a little bit in ARC. There is not too much in legacy FPN, but there is some, most of it though by far is absolutely the SensoryEffects acquisition and in that SensoryEffects segment at this point.
Tim Ramey: That’s helpful for the model. And thanks too for the further disclosure on industrial products. And it’s notable that I think you sassed up to headwinds or you agree that there are real headwinds there, which is a change from what you experienced in the fourth quarter? Do you have a sense of how that business evolved? I mean there, looked like there was some margin pressure or at least pricing pressure on decent volume, is this still a decent volume story or do you think it flat?
Dino Rossi: Yes, I think to your note, in our previous call we talked about the story of just having seen strength in the industry. I’d say mid stream in Q1 is where we saw it start to fall off and even the language that we talked about is still strong in Q1 and then drifting off towards the end of the Q1. And I would like to think we’re at the bottom of that right now, but I don’t know that anybody has the crystal ball and can say so for sure, but our view here going forward, I mean we’re still shipping products into the space and expect them to continue to frac. But certainly I think, I think it’s going to be at the level that it was volume-wise anyway like in Q4, which was very strong Q3, very strong, we’re certainly not of that near term view and I think it probably won’t turn until we see the price of the barrel recovery a fair bit.
Tim Ramey: Okay. And then just a question on the NH comments relative to choline chloride, I was surprised the sales weren’t slightly better in North America; you indicated they were up, but it was FX and Europe was weak enough to drag the whole basket down. Is there anything in particular going on in Europe? Did you lose a meaningful customer or -- a little color there?
Dino Rossi: Yes, not really. I mean, so we sell not only into the poultry industry but also into the aqua industry over there and we saw a little bit of softness. We haven’t lost any accounts, but I think that certainly the FX is planned through that international piece and that’s been there all along. I mean, we do have pretty good performance out of that European operation and those with the euro drifting that certainly didn’t help. Volume-wise, like I said, it was a little soft but -- I'm not going to pretend and not be concerned but I think from our view we expect it to continue to pick up here through the balance of the year and continue a strong year out of that market. So there's some things going on over there in terms of their raw material position versus what's going on here in the States and some competitive environment there as well. I think you might remember that in early last year, Q1 is when that there was the Chinese issue and that contaminated product rolling into Europe, they got shut down. So clearly that kind of changed the volume of movements then for us to quoting back, I said they’d be back, so they’ve brought back, they’ve corrected their issues and so we’re seeing that reflected in these numbers a little bit, but not too very dramatic. I think accounts that we picked up at that point time has pretty much stayed with us and certainly with an expectation that that market is going to continue to be pretty decent through the balance of the year.
Tim Ramey: One more quick one. Bill, did you happen to calculate the FX impact on EPS?
Bill Backus: No, I will give you the number and so it’s going to be about, well, let me give you the pretax number here on sales, just on the sales number, it’s $3.1 million so, but in terms of -- I can follow up with you, Tim, if you want to go through some of the other stuff or for your model.
Tim Ramey: Thanks so much.
Operator: Our next question comes from the line of Mike Ritzenthaler with Piper Jaffray. Please go ahead with your question.
Mike Ritzenthaler: Just want to kick it off with a question on SensoryEffects revenues, to what extent the top lines they’re showing some of the effects of pruning lower margin business, and I know that you don’t provide specific guidance, but can you just walk us through how you’re thinking about top line growth expectations in 2015? And maybe just how much natural seasonality did you see in Q1 versus Q4 numbers?
Dino Rossi: Yes, I think certainly there was -- there is some seasonality that we realized with that business, and it's probably more in-line with the flavors part of the absolute flavors versus, if you will, powders. And so we noted here that the flavor part of the business actually we saw an increase year-over-year, so some recovery going on there and frozen desserts and ice creams and things like that have played through pretty neatly. I would tell you that there is always an ongoing program here in terms of “pruning”, if you will, to improve the margins of that business. And I mean you’ll note overall with the margin improvement did happen. And I think that that’s always going to continue to be there, but with that said I don’t know that I would sit here and say we’re looking to really cut away from much more business that we picked up through the acquisitions that really wasn’t meeting the guidelines of what we thought would be acceptable. I think a lot of that is behind us now. So on a go forward basis it’s really more about just continuing to growth of business. I think over all our view of the growth, this year given the start that we've had is probably we're going to be a little bit less than closer to the 10% mark that we talked about. Especially beverages that started out a little slower than certainly we expected. We expect some recovery there. So, I think overall we’re probably looking at maybe a 7% kind of growth in that business organically, but I don’t know that I can give anymore guidance in that right now.
Mike Ritzenthaler: No, that’s very helpful, Dino. So another question on the international choline sales, I was just curious about what that would be, what that was excluding currency? I can’t remember if you specifically pointed that out. And then secondly, on choline domestically I guess is the impact of Avian flu, how that has flown through the P&L and past the international instances where we've seen more widespread culling, just choline sales internationally including currency and the Avian flu piece?
Dino Rossi: Yes, so I think that what we mentioned that on the international side is mostly related to, I would say, sales coming out of the Italian operation and which our sales to go into a number of different countries not only the EU and so -- when I say a little bit of softness I think of no real alarm here, if you will. And so I don’t think that that’s going to have a lasting impact for sure. Switching over to the avian flu, in fact, historically, we've not really been impacted by that -- and while there is pockets today here in the States, I don’t -- I really wouldn’t even say that that's impacted our numbers here in Q1. So I think our view of that is this poultry is going to be continue to be consumed from around the world wherever I think in the past probably U.S. stepped up and exported, which you might argue would be better for us knowing that we’re predominantly North American based with that choline sort of what we do out of the Italian operation. But right now, I would tell you that we’re not looking at the avian flu issues that are at least currently out there unless they really do pick up and run in a big way as being s note to be too very problematic about.
Mike Ritzenthaler: Okay, fair enough. On raw materials, is there a way to quantify year-over-year the change in raw materials and the gross margin, that’s going to be a pretty material needle mover this quarter?
Dino Rossi: Yes, well certainly I think a lot of that revolves but not entirely around petrochemicals and I think everybody knows that with the barrel price coming down that’s certainly ripple through if you need a lot of the other special chemicals announcements that are out there they’re talking about prices of key raw materials coming down. And I think up through last year there was a lot of questions even on calls too about why our costs really wasn’t drifting off a little bit here given what was happening with the barrel of oil and natural gas prices. That has started ripple through. So we're starting to pick up the benefit of that here at least in the quarter. I think that the key here is that as quick as we say that I can also tell you that in certain parts of Europe and other parts of the world some of these petrochemical prices are starting to move back up. Whether it is because of turnarounds in plants or an explosion in China or things like that and a lot of this has become very "global" in the pricing schemes, if you will. So I don’t think that there is any one particular area that’s going to dictate what happens here with these prices, but certainly there has been a relief and you are seeing some of that reflecting in these numbers. I think the difficulty as it relates to us is also that our product portfolio has changed and where choline in and of itself used to be a significant impact here, but in Q1 we talk about flatness in the shelf racking, that’s altering, if you will, what choline is as a percentage of our business and accordingly margins to go with choline versus specialty products and specialty ruminant products for that matter. So I mean these numbers reflect a significant change in that product portfolio. We talked about and we really like the fact that the ruminant business is growing I think these numbers reflect that more and more and, yeah, I would like to not see any of the business to be trailing off that would be ideal, but I think these percentage shift that you are seeing quite (inaudible) here are reflecting a lot of that. It's also reflecting the change in our portfolio.
Mike Ritzenthaler: That make sense. I'll wrap it up here with a question for Ted maybe, with the strong cash generation within the business that's sort of inherent in the business, how do you think about allocation to philosophically capital allocation between the debt paydowns that kind of historically that’s just simply cash versus dividend and the other pockets reach allocation.
Ted Harris: Thanks, Mike, for the question. Obviously, I'm new to the company. I've been here a few days and it's been a great few days, and as with gone through our strategic plans with the board over those last few days, we clearly have significant investment that we want to make organically in the businesses, both capital investment as well as R&D investment. We have a lot of good projects both on the capital side as well as the R&D side, but we also have what I would call a very healthy pipeline of acquisitions that we are reviewing. I think we are committed to the dividend and outcome of that of the last history of providing a dividend and we are committed to that and at this point in time I think it's balancing between organic growth and acquisitive growth and we are now really waiting to create the best returns for the company and balancing investments in both those areas.
Mike Ritzenthaler: Fair enough. Thank you very much.
Operator: Our next question comes from the line of Debra Fiakas with Crystal Equity Research. Please go ahead with your questions.
Debra Fiakas: Thank you for taking my question. I first start with hoping to maybe put Ted on the spot just a little bit by asking what in your prior experience and I loved the experience with Ashland and FMC; what in your experience with Ashland and (inaudible) what in your prior experience do you think will be of most value to you and your new position with Balchem and by the way congratulations.
Ted Harris: Thank you very much. I think that in the specialty chemical industry for 28 years, managing a series of businesses that are smaller than Balchem and actually much larger than Balchem and I think that that specific experience around investments in R&D new product development I think will be of benefit here as we continue to try and differentiate ourselves through new products. And secondly, I have spent a lot of time in my life as living and working abroad in managing global business and as Balchem continues to grow internationally I think that that will come to good use. And I think thirdly, my experience in making acquisitions and integrating acquisitions as that’s been an important part of my career over this 28 years and I think the acquisitive history of Balchem and the interest in continuing that in my experience as well. So I pointed those three areas specifically that I can grow on to help continue the strong performance of Balchem going forward.
Debra Fiakas: Excellent, thank you. And then for Mr. Rossi. You have had what four days off now. I was wondering if you had had some thoughts about how you want to craft you role as chairman of the board? What will change in the coming months and quarters in your role as chairman?
Dino Rossi: Well, I think he has spent all the four days, but I don't know that there has been whole lot of change in net-net. I think as was mentioned before, it's almost out transitioning here was that near-term. And -- but I think on a go-forward basis as the chair position, I was the chair before and certainly, I believe it's going to be a lot the same as what was in terms of that particular role, if you will. But I also think that it'll take into consideration with Ted on board now, if there is any modest changes in direction or anything like that does it impact, who we should have on the board, bringing any other kind of experience -- any other kind of experiences onto the board to help facilitate those things. So we'll study that real close. But for the next near-term, I think it's really going to be business as usual, and continue to support, if you will, management with whatever needs to be done to help facilitate the growth.
Debra Fiakas: Excellent. Thank you. And then just one housekeeping question. I wanted to return to the topic of amortizing the intangible. I just didn't quite hear everything that was said when the previous caller asked about the amortization. What portion, if any, of the five -- I think its 5.6 for Sensory related to the Sensory acquisition. Was there any portion of that that's non- recurring?
Bill Backus: No. No, it's all recurring amortization. It'll run out through -- it's useful life, whatever intangibles have [indiscernible].
Debra Fiakas: Okay. And what timeframe? What was the time period?
Bill Backus: Well, it depends on the intangible. Like for example, the customer relationships which you know is a big one, it typically is 10 years.
Debra Fiakas: Okay.
Bill Backus: And that's where we're at at this point.
Debra Fiakas: Okay. Excellent. Thank you.
Dino Rossi: Thank you.
Operator: Our next question comes from the line of George Latimer [ph] who is a Private Investor. Please go ahead with your question.
Unidentified Analyst: Just word of kudos for Dino for all his accomplishments and the growth and the foresight he gave to the company. I just want to wish him luck. And thank you on behalf of the investors, and also with Ted success in his new role.
Dino Rossi: Thanks, George. And thanks for all the support over the years. Really appreciate it.
Unidentified Analyst: [indiscernible].
Ted Harris: Thanks very much.
Operator: Thank you. Our next question comes from the line of [indiscernible] Capital. Please go ahead with your questions.
Unidentified Analyst: Just wanted to say thank you, Dino. And Ted I look forward to you compounding our stock at 18% per annum for the next few years [indiscernible].
Ted Harris: Set the bar high for me, thanks.
Unidentified Analyst: My first question about the avian flu was already answered in that. So I only have one question, which was where is the competition on price coming from for oil services? And that's number one. Number two, I was pleasantly surprised to hear that volumes were okay, despite the fact that the rig count fell so much so. If you could tell us how you're achieving such great customer wins or market share wins or whatever that is? Thanks.
Dino Rossi: Yes. Well, I think that the price pressures are coming from oilfield service players out there in the market today. And I'm sure you read about what's going on with Schlumberger Halliburton VJ. There is lot of pressures there; they're laying off under the thousands of people now, so it's not a pretty picture. A lot of that clearly is I think being generated because of the decline in the drilling activity itself, though kind of the front-end of the process, if you will. But it's riffling through. I mean we are starting to see that. As I said, we recorded a -- I'm going to say a decent Q1 here towards the end of Q1. It certainly started to drift off a little more in terms of volumes. But there is a lot of ongoing conversation with that customer base to understand what is going on on out there. There are certain fields that are continuing actually. They did quite well. Certainly, I won't say at the expense of others, because the overall market is down, but there are certain ones that are doing better than others for sure. And we continue to push product into those particular markets. But it's about continuing to be a quality supplier into the space, giving them good service. They have tightened up the supply chain for sure. It's a lot of us just in time and have an inventory on the right places to service as flat. So we continue to stay as close as we can. But I will tell you that, when I say just in time, it's just in time. I think many of these guys don't know for sure if they're going to be fracking a well on Monday, on the Friday before, it's that tight up. And so -- well, [indiscernible] staying as closely we can to them and working with them to help facilitate the pressures that they're feeling as well.
Unidentified Analyst: Okay. Great. It's not some new supplier or something like that?
Dino Rossi: Not really. We talked before about some Chinese material coming in little bit from New York, but no new supplier outside of that.
Unidentified Analyst: Cool. Thanks. Have a great day.
Dino Rossi: Thank you.
Operator: Our next question comes from the line of [indiscernible] Capital Management. Please go ahead with your questions.
Unidentified Analyst: Hi, Ted. I'm just wondering if you could give update on the joint venture, which is now [indiscernible] I guess?
Ted Harris: Yes. Certainly, the plans are in place to continuing to move forward, engineering work is going on. So, I think our opinion I think this is the shared opinion with the Eastman maybe if you want a separate answer to the issue you should get it from down but the view is that this JV was being done in light of what was going on in the fracking industry. Our view is just that the fracking industry is going to continue to be here going forward. Certainly, there’s a little speed bump here right now that we’ve hit. Our long or broad that’s going to be I think still has to be determined but I think the contesters view is this technology is here to stay. With that said, our view is just a market will require more products. You might argue exactly when right now and I would disagree with that, so I think we’re having discussions about the prudent way to perceive here jointly but as of right now it’s still moving forward and maybe not as hastily as we were six months ago but certainly still moving forward.
Unidentified Analyst: Just on timing it is still expected later this year?
Ted Harris: I think that that might slip a little bit by design, if you will, probably into end of 2016 and I think we’ll see yet here how things are playing out and always keeping an eye on what’s happening from the construction standpoint down in the Gulf, available crews and those kinds of things and price-points sort of going on because of what’s going on in that market, there might be all good reasons to slow down a little bit but I won’t project that too hard other than I think it’s now probably going to be in 2016 rather than 2015.
Operator: Our next question comes from the line of Tim Ramey with Pivotal Research Group. Please go ahead with your question.
Tim Ramey: Yes, maybe just a follow up for Ted. I know you went through this a couple of days strategic review session, and is there anything that kind of jumps off the table as particularly interesting from your new perspective of the company that you would care to highlight?
Ted Harris: Yes, as I reflect on those there’s couple of days and again they were great days but only few days. So, let’s put it into context. But I would say three things come to mind. One is that just around I think the great work that is being done but from an R&D and a marketing perspective around differentiating choline and food and feed and even in industrial applications I think that that Balchem has a good pipeline of differentiation enhancing efforts that I think are exciting and that will continue to allow us to grow in those areas. I also think the Agglomeration investment is a very positive investment that really can gives us turnkey, especially powder capabilities that we haven’t had in the past, and I think the team is excited about what that can do for our powder business and that really caught my eye as an exciting opportunity to continue to grow SensoryEffects. And then as I mentioned earlier, I think the robust acquisition pipeline that can be as exciting. I think there is a good mix of small acquisitions and larger ones that enhance technology, geographic span as well as new market penetration. So those three areas come to mind as I'm not sure surprises, but particular highlights of the three days.
Tim Ramey: And maybe ask a question the other color did a different way, but coming from your background, which I believe is more kind of industrial rather than food, I believe, I know you’ve had food assignments.
Ted Harris: Right.
Tim Ramey: Are there opportunities that you bring to the table that might be kind of plug and play for the company?
Ted Harris: I do as I reflect I came back only couple of days and really getting into the different businesses, my six years or so managing FMC’s food ingredient business really kind of -- with that experience and the talk of competitors and the opportunities really resolve kind of come back to life, again. So I think that I certainly can draw off of those experiences as we try to grow in the food space, here at Balchem. I think that the international experience that I’ve had comes to mind as well. I’ve experience in building plants in China and managing plants and business in Europe and South America and across Asia, and as we went through the strategic plans, I would say each of the business is contemplating opportunities in those regions of the world. And I think that some of my experience in starting new businesses there, managing old ones, and growing them, I think will come to particular use in trying to accelerate those efforts.
Operator: Thank you. This concludes today’s teleconference -- our question and answer session. I’d like to turn the floor back to management for closing remarks.
Dino Rossi: This is Dino. I will say, thanks everybody for participating on the call and thanks for your support and we look forward to talking to you again at the end of the next quarter. Thanks.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. And thank you for your participation.